Executives: Abhijit Bhattacharya - Executive Vice President of Investor Relations François Adrianus van Houten - Chairman of the Board of Management, Chief Executive Officer, President and Chairman of The Executive Committee Ron H. Wirahadiraksa - Chief Financial Officer, Executive Vice President, Member of Board of Management and Member of The Executive Committee
Analysts: Andreas P. Willi - JP Morgan Chase & Co, Research Division Martin Wilkie - Deutsche Bank AG, Research Division Ben Uglow - Morgan Stanley, Research Division Ludovic Debailleux - Natixis Bleichroeder LLC, Research Division Gael de-Bray - Societe Generale Cross Asset Research Mark Troman - BofA Merrill Lynch, Research Division Martin Prozesky - Sanford C. Bernstein & Co., LLC., Research Division Olivier Esnou - Exane BNP Paribas, Research Division Fabian Smeets - ING Groep N.V., Research Division Hans Slob - Rabobank Equity Research Fredric Stahl - UBS Investment Bank, Research Division Daniel Cunliffe - Nomura Securities Co. Ltd., Research Division Philip Wilson - Redburn Partners LLP, Research Division William Mackie - Berenberg Bank, Research Division Mark Davies Jones - Agency Partners LLP
Operator: Welcome to the Royal Philips Electronics First Quarter Results 2013 Conference Call on Monday, 22nd of April, 2013. [Operator Instructions] Please note that this call will be recorded and is available by webcast on the website of Royal Philips Electronics. I will now hand the conference over to Mr. Abhijit Bhattacharya, Head of Investor Relations. Please go ahead, sir.
Abhijit Bhattacharya: Good morning, ladies and gentlemen. Welcome to this conference call on the results for the first quarter of 2013 for Royal Philips Electronics. I'm here with Frans van Houten, our CEO; and our CFO, Ron Wirahadiraksa. In a moment, Frans will make his opening remarks and give you an update on the progress we have made during the quarter. Ron will shed more light on the details of the financial performance during the quarter. After this, both Frans and Ron will be happy take your questions. As usual, our press release and the accompanying information slide deck were published at 7 a.m. CET this morning. Both documents are now available for download from our Investor Relations website. We will also make available a full transcript of this conference call on the Investor Relations website by tomorrow. With that, let me hand over the call to Frans.
François Adrianus van Houten: Thanks, Abhijit. Welcome, and thank you all for joining us today in this call. The first quarter of 2013 was another quarter of good progress for Philips as we achieved a 31% improvement in our operational results compared to last year. What is particularly pleasing is that all sectors achieved a year-on-year improvement in operational results, clearly demonstrating the positive impact that the Accelerate! program is having on our company. The initiatives to structurally lower our cost base and improve productivity by removing layers of management and reducing complexity have had a positive impact on the results for the quarter. Our increased focus on a faster time-to-market for new product introductions to improve price realization and reduce Bill of Materials has improved the operational gross margin for the group by 180 basis points compared to a year ago. These structural improvements have enabled us to deliver better operating results in the first quarter despite the economic challenges that have led to a modest top line growth of 1%. On that note, and as we mentioned previously, the developments in the global economy and the impact on our order book clearly indicated to us that we would have a slow start to 2013. After a year of good growth in 2012, Healthcare sales in the first quarter were lower than the corresponding period of last year by 1 percentage point. Uncertainty, primarily in North America, coupled with austerity measures in Europe resulted in a mid-single-digit decline in order intake in the quarter. Solid execution of our growth plan in Consumer Lifestyle, however, enabled us to deliver double-digit growth in the quarter, with Domestic Appliances delivering the highest growth in this sector. In Lighting, LED-based sales continued a strong growth trajectory, increasing 38% over the previous year. Sales from LED-based products and solutions are now 23% of the Lighting sector sales. However, weak construction markets negatively impacted Lighting sales, which were flat compared to the first quarter of 2012. As we approach the second anniversary since the launch of the Accelerate! program, it is pleasing to see that the detailed improvement actions are being deployed throughout the organization. Our quarterly surveys of 40,000 employees confirm that the Accelerate! initiatives have been cascaded well across all levels of the organization. To support our leaders in this unprecedented transformation of our company, over 900 senior leaders have participated in change management programs to create a high-performance culture, enabling enhanced collaboration along the LEAN End2End customer value chain to serve our markets. In the areas where the End2End program is already running, we have already seen simplified parts of this value chain, which have improved customer service levels by around 25% on executed projects in the first quarter. We've also reduced our inventory by 1.4 percentage points compared to a year ago. We've launched our DfX program, whereby DfX stands for Design for Excellence, X -- where X can be cost, quality manufacturing, et cetera, so the DfX program to reduce our Bill of Materials and improve value-creation going forward. The first pilots of this DfX program have clearly demonstrated the potential for improvement in this area. Finally, our overhead cost-reduction program is on-track. Our cumulative savings through the end of the first quarter were EUR 549 million. Our target reduction of EUR 1.1 billion by 2014 included savings of EUR 57 million for the Audio, Video, Multimedia and Accessories business. And that is now reported in discontinued operations. We maintained a target of EUR 1.1 billion compared to our baseline of the first half of 2011. And thus, we'll find additional savings of EUR 57 million to make up for the exclusion of audio, video. Our mission is to improve people's lives through meaningful innovation as a way to create superior value. Let me give you a few examples of some of the recent breakthroughs in innovation that we have achieved. Healthcare introduced our EchoNavigator live image guidance tool, a world first technology that unites and synchronizes x-ray and 3D ultrasound to support minimally-invasive structural heart disease repairs without the need for open-heart surgery. The Philips EchoNavigator has been developed in response to a clear upward trend in the use of both x-ray imaging and 3D cardiac ultrasound imaging during structural heart disease procedures, an area of interventional cardiology that is growing at around 40% per year and has been cleared by the U.S. authorities recently. The EchoNavigator is our latest example of innovating around clinical needs, and this is making a difference where it really matters. In Lighting, as part of the transformation to energy-efficient LED solutions, we captured new business opportunities, such as the illumination of the entire art exhibition of the renovated Rijksmuseum in Amsterdam. This LED lighting solution creates the effect of color rendition like natural daylight, presenting the artwork in the best way and enhancing the visitors' experience dramatically. With more than 9,500 square meters and 7,500 artworks illuminated by 3,800 LED spots and more than 0.5 million LEDs, it is the largest museum ever lit by LED. Another example is our creation of the world's most energy-efficient LED lamp suitable for general lighting applications. We have developed a tube lighting replacement, T LED, prototype that produces a record 200 lumens per watt of high-quality white light. This prototype T LED lamp is twice as efficient as its predecessor, thereby halving the energy used. As lighting, accounting for more than 90% of the world's total electricity consumption, this innovation promises to drive massive energy and cost savings across the globe. In the Consumer Lifestyle sector, we continue to drive the local relevance of our portfolio and enhance global scale at the same time. For example, we set up an innovation center in Shanghai in 2011 to develop locally relevant innovations for China, such as the soy milk maker, the food cleaner and noodle maker. We further enhanced our proposition in China through the acquisition of POVOS in 2011, which brought competencies in rice cookers, electric pressure cookers and induction cooktops. Our soy milk maker was the first product out of the Philips Shanghai innovation site. Building on the success of this platform in China in early 2012, our innovation sites in Europe, Klagenfurt and Shanghai, began working together on adapting the platform for making soup for Western Europe. The product was launched in France in the third quarter of 2012, followed by Turkey and other markets in the West. It has been an instant success, contributing to the strong double-digit sales growth that we are now seeing in our Domestic Appliances business. The Airfryer, another leading innovation which we introduced some time ago, continues to fly off the shelves as it provides the benefit of low-fat frying around the world. As we progress with Accelerate! and drive operational excellence in our ability to innovate and deliver results, we are integrating the lessons we are learning into what we call the Philips Business System, which is a clearly defined and repeatable way to deliver value throughout Philips. The Philips Business System has 4 key elements, which you can see on Page 36 of the Q1 presentation and that I would like to articulate here. First, the Philips Business System establishes clear strategies for our portfolio and makes certain that we allocate resources in the right way in areas that have the highest potential for value creation. Second, it ensures that we leverage our core capabilities, assets and positions, which, in short, we call our CAPs, C-A-P-S. Our CAPs are our ability to innovate our global footprint, our people capabilities, deep market insights in Healthcare, Lighting and lifestyle, our strong balance sheet and very importantly, our world-class brand. Pursuing those business opportunities that capitalize on our CAPs give us a much higher chance to deliver value. This also means that if opportunities are not building on our CAPs that we will not pursue them. Third, the adoption of Philips Excellence in how we operate and execute will make the biggest difference to our results. Our Accelerate! program has put in place programs and initiatives that drive operational excellence, enabling us to deliver value faster, at lower cost, with more predictability, better customer service and local market relevance and higher profitability. This is further enabled by our high-performance culture that we are establishing in the company. There is tremendous appetite across Philips to embrace all these new practices. And our leaders, including the executive committee, are all personally hosting sessions to take people on the journey to deliver excellence so that they can help Philips become a LEAN End2End company. As we progress with Accelerate! initiatives, such as End2End, the new performance culture and Lean operating model, we are capturing the new ways of working so that we can act faster and better and don't have to continuously reinvent the wheel anymore. And finally, the Philips Business System will ensure that we execute business plans to deliver sustainable results on our Path-to-Value. In 2011, we clearly articulated our Path-to-Value, including financial targets for 2013. We covered it on 3 axes: for example, the comparable compound average growth rate of 4% to 6%, assuming real GDP growth of 3% to 4%; secondly, reported EBITA in the range of 10% to 12%; and a return on invested capital in the range of 12% to 14%. We remain committed to deliver on these targets even though market conditions pose significant headwinds. During the next Capital Markets Day on the 17th of September, we will update you on the progress that we have made to that point, the initiatives that will take us further on our journey and our new targets. As I said during my Capital Markets Day speech on the 19th of March this year, and I would like to repeat it here, the Accelerate! program will run through 2017, at least, and we will demonstrate progress by setting ourselves clear financial objectives to be delivered along the way. With that, I conclude by reiterating that we are pleased with the progress we have made to date. Accelerate! is working and resulting in good operational improvements. Further, through the Philips Business System, we are implementing a systematic approach to delivering value. We maintain our view of a slow start to 2013, especially caused by Europe and North America. We will continue to focus on the execution of the Accelerate! initiatives, which include significant productivity improvements and investments in innovation and growth. We believe these are the right steps to unlock further the full potential of Philips. While we are concerned about increasing economic headwinds, we are committed to reach our financial targets this year. I'll now turn the call over to Ron to go over our financials in more detail.
Ron H. Wirahadiraksa: Thank you, Frans. Good morning, and welcome to all of you on the call. I will begin by giving you some color on the developments in the markets we serve and then walk you through the financial performance for the first quarter. Let me start with Healthcare. In the U.S., market conditions continue to be challenging, with hospitals working through the implications of the sequestration and healthcare reform and delaying capital purchase decisions. We expect related market uncertainties to continue into the next month, also pending the upcoming round of budgetary decision-making. The medical device excise tax is now effective with a 2.3% tax on sales of most medical devices. This tax will be deductible for Philips and is applicable to sales of our Imaging and Patient Care & Clinical Informatics business in the U.S. Although we can mitigate the effects, it does have some effect on our bottom line. In Europe, we continue to see significantly-differing market dynamics on a country-by-country basis. Whereas the relatively-smaller markets in Northern Europe display signs of moderate growth, the larger markets, such as Germany, Austria and Switzerland, as well as France, declined slightly. Southern Europe continues to face market declines as a result of the austerity measures undertaken. Overall, economic fundamentals in the European region still point towards an overall flat outlook for 2013 at best. In the growth geographies, the ASEAN region and China continue to record good growth during the first quarter of 2013. On the other hand, Middle East and Turkey, Russia and LatAm witnessed lower market momentum in the first quarter. We expect market growth to be double digits for the growth geographies in 2013. We expect the U.S. and European markets to continue to be challenging, certainly during the first half of 2013. Overall, we maintain a market outlook of around 3% to 4% growth in the Healthcare markets we serve. Consumer markets continue to follow the fluctuating patterns seen in the overall economy with only limited changes in the outlook. The Eurozone continues to look weak. Unemployment increased further to reach 12% overall, with Spain and Greece now at over 26%. Negative consumer confidence prevailed with a stable picture at close to record levels. Total retail sales continue to decline compared to last year. Germany is poised for modest economic growth as the following indicators are improving: unemployment falling to 5.4%; consumer confidence rising to almost neutral; and retail sales increasing versus a year ago. The U.S. picture for consumer markets is improving, with unemployment falling further to 7.6% and improving retail sales. Consumer confidence, however, continues to be quite volatile, reflecting household uncertainty about the sustainability of the economic recovery. In China, consumer confidence reached a new high in February, and retail sales growth in the first quarter was a robust 12% compared to a year ago. Government expectations are for higher growth rates later in the year in China, giving the 14.5% target for 2013. In Brazil, we see the consumer environment getting less positive. Although unemployment is relatively low at 5% to 6%, it is at its highest level since September 2012, resulting in consumer confidence dropping and retail sales growth softening from high-single-digit to mid-single-digit levels. The Lighting market in Q1 2013 increased slightly compared to Q1 2012. The growth was driven by robust demand for LED-based products, while the market for some of the conventional lighting products declined. The U.S. economy showed signs of a modest recovery. In Q1, some indicators pointed to a recovery, most notably architectural buildings, purchasing managers' indices, consumer confidence and housing starts. The construction industry is seeing growth, mainly driven by a recovery in residential construction, which is growing off historically low levels. Nonresidential construction, however, is lagging behind residential and is expected to do so throughout 2013. Uncertainties surrounding government spending and cuts result in a stable market for most segments, while homes and outdoor markets are up. Market demand for lighting products in Western Europe continues to suffer as budget costs -- cuts, high unemployment and economic uncertainty weigh on business and consumer confidence. Both Germany and France saw a contraction in construction output in 2012. Real GDP is expected to remain flat for France in 2013, while Germany is expected to show a slight economic expansion in 2013, according to the EIU. In the growth geographies, construction and economic output remains solid. Consumer lamps and luminaires business in India remain strong. In China, the demand is stable as a slight decline was seen in manufacturing. Some retail change have slowed down new store openings and renovations, and real estate dropped with a new control policy of heavy tax offsetting the growth in other segments. Global vehicle production is expected to have seen a mild contraction in Q1 2013 year-on-year. We expect to see this trend reverse in the remainder of the year. Let me now move to the Philips Group results for the first quarter of 2013. As at the first quarter of this year, we report a profit and loss on the Audio, Video, Multimedia and Accessories business under discontinued operations and the net assets for the business in the balance sheet, underlying assets held for sale. The cash flow of the Audio, Video, Multimedia and Accessories business is reported under cash flow for discontinued operations. Therefore, all commentary that will follow in terms of sales and earnings at Philips Group level and Consumer Lifestyle sector level does not include Audio, Video, Multimedia and Accessories-related information. Also, when I refer to adjusted EBITA on this call, this represents EBITA excluding restructuring, acquisition-related charges and other charges and gains above EUR 20 million. Comparable sales in the first quarter grew by 1% when adjusted for currency and portfolio changes. Comparable sales in our growth geographies increased mid-single digits in the first quarter. Our growth geographies are defined as all markets, excluding the U.S., Canada, Western Europe, Australia, New Zealand, South Korea, Japan and Israel. Sales from these growth geographies increased to 34% of group revenues compared to 33% for Q1 last year. On a comparable basis, sales in North America declined by 3% in the quarter. Healthcare was affected by lower order intake in the previous quarters, as well as lower turns businesses within the quarter as sentiment was affected by the uncertain economic environment. Consumer Lifestyle sales in North America had mid-single digit comparable sales growth, while Lighting sales declined, mainly due to lower sales for Professional Lighting Solutions. Group sales in Europe saw a decline in comparable sales of 2% in the quarter, mainly due to Healthcare. Consumer Lifestyle grew low-single digits, while Lighting sales were flat in the quarter. In the other mature markets, the group saw a 10% increase in comparable sales, with Japan continuing to remain strong with 15% growth. In Q1 2012, we had one-off items comprising of the sale of assets, which were the Senseo brand, the High Tech Campus, and industrial assets in Lighting. This had a net positive impact of EUR 172 million on the EBITA, EUR 119 million on the net income and EUR 543 million positive impact on the cash flow. Reported EBITA was EUR 402 million or 7.6% of sales, which is lower than the EUR 451 million or 8.5% of sales reported for Q1 last year. EBITA for Q1 2012 included net positive one-off gains of EUR 172 million, which I have just mentioned before. Restructuring and acquisition-related charges in Q1 2013 were EUR 24 million lower than in Q1 of 2012. Adjusted EBITA was EUR 421 million or 8% of sales in the quarter compared to EUR 320 million or 6.1% of sales for Q1 2012. The improvement in the adjusted EBITA was due to the improved operational performance in all sectors. Net income for the quarter was EUR 162 million, which is a EUR 98 million improvement when excluding the one-off impact of EUR 190 million of net incidental gains in Q1 2012. Cash flow from operating activities for the quarter was an outflow of EUR 228 million compared to an inflow of EUR 297 million in Q1 of 2012. Q1 2013 was impacted by the payment of the EUR 509 million European Commission fine, while Q1 2012 had cash inflows of EUR 543 million due to the Senseo transaction and the sale of the High Tech Campus. Excluding these one-off cash flows, the cash flow from operating activities in Q1 2013 improved to an inflow of EUR 281 million compared to a cash outflow of EUR 246 million in Q1 2012. With that summary, let me now walk you through the performance of each of our businesses during Q1, starting with Healthcare. Currency comparable equipment order intake declined 5% in Q1 2013 compared to Q1 2012. The decrease in order intake was across the board. Order intake in North America was impacted due to the ongoing uncertainty in the market, which I have spoken about earlier. After 2 quarters of double-digit order intake growth in Europe partly due to large multi-year orders, Q1 saw a high-single-digit decline, with most countries declining. However, we did see growth in the United Kingdom and Ireland. The austerity measures in Europe are resulting in lumpy order intake in the recent quarters. Order intake in the growth geographies decreased by 4% on a comparable basis. The decrease in these geographies was in the Patient Care & Clinical Informatics business, where we had a 41% order intake growth in Q1 2012. Order intake in Imaging Systems grew low-single digit. Order intake in China grew double digit, while India and the ASEAN region declined double digit. Order intake for Imaging Systems decreased low-single digit. Patient Care & Clinical Informatics order intake decreased by double digits. PCCI had an 18% increase in order intake in Q1 2012, including certain large deals booked in Q1 last year in the Middle East and Japan. On a currency and portfolio comparable basis, Healthcare's year-on-year sales decreased 1% after growing 9% in Q1 2012. Growth in consumer services and Home Healthcare was offset by a decline in Imaging Systems, while patient -- sorry, while sales in Patient Care and Clinical Informatics remained flat. Comparable sales in the growth geographies decreased to low-double digit in the quarter after a 27% increase in Q1 2012. Comparable sales in Russia, which increased by over 100% in the first 3 quarters of last year, declined by double digits in the first quarter of 2013. Sales in India saw a low-single-digit decline as some installations moved into the second quarter, while Brazil and China grew high-single digit. Comparable sales in Europe declined by 4%, with Southern Europe declining by double digits and the rest of Europe declining by low-single digit. Sales in North America declined by mid-single digit in the quarter, as Imaging Systems, Patient Care & Clinical Informatics and Home Healthcare declined in the quarter while consumer services grew low-single digit. Healthcare reported a first quarter EBITA of EUR 221 million, which is 10.4% of sales and an improvement of 130 basis points compared to the first quarter of 2012. The adjusted EBITA amounted to EUR 224 million or 10.5% of sales, which is above the EUR 211 million or 9.6% of sales in the same period last year. Higher gross margins and reduction in overhead costs resulted in the improved earnings for the quarter despite a subdued top line. Consumer Lifestyle sales, when adjusted for currency and portfolio changes, grew by a strong 10% compared to Q1 of last year. The growth geographies had a comparable sales increase of 19% in the quarter, led by Russia, Taiwan, Brazil, China and the ASEAN region. Sales in North America grew mid-single digit, driven by double-digit growth in Personal Care, while Europe grew low-single digit. Other mature markets, comprising of Japan, South Korea, Australia, New Zealand and Israel, recorded low-single-digit growth in the quarter. EBITA for the quarter was EUR 98 million or 9.8% of sales. Adjusted EBITA for the sector for Q1 2013 was EUR 99 million in the quarter or 9.9% of sales, compared to EUR 62 million or 6.7% of sales for the first quarter of 2012. The improvement in adjusted EBITA was driven by higher sales and gross margins, overhead cost reductions, as well as the elimination of stranded costs related to the Television business, which were part of the Q1 2012 results. All businesses in Consumer Lifestyle improved their adjusted EBITA in the quarter compared to Q1 2012. For the Audio, Video, Multimedia and Accessories business, which, as explained earlier, is reported in discontinued operations. The net income excluding disentanglement cost related to the transfer of the business, improved to EUR 18 million compared to EUR 15 million in Q1 2012. On Page 15 of the press release, we have provided a simple reconciliation of the results of this business. In Lighting, comparable sales were flat in the quarter compared to Q1 of last year. In our growth geographies, sales excluding Lumileds, increased on a comparable basis by low-single digit. On a more granular basis, sales in Brazil, China and India showed good growth. Europe sales were flat in the quarter, with growth in Western Europe being offset by declining sales in Southern Europe. North America recorded mid-single-digit sales decline in the quarter. We're taking a deeper look into each of the Lighting businesses, so we continue to see strong sales of our LED products with growth of 38% compared to the same quarter in the previous year. Lumileds recorded strong double-digit growth, while Automotive sales grew mid-single digit for the quarter. These were offset by declines in the rest of Lighting. The reported EBITA for Lighting was EUR 147 million or 7.4% of sales, which is a significant improvement compared to the EUR 46 million or 2.3% of sales in the first quarter of 2012. The EBITA for Q1 2013 included EUR 30 million less restructuring and other charges compared to Q1 2012. Adjusted EBITA was EUR 166 million or 8.4% of sales, a significant increase compared to the EUR 95 million in the first quarter of 2012. The improvement was driven by a lower Bill of Materials, including lower phosphor prices, as well as overhead cost savings. Reported EBITA for Innovation, Group & Services amounted to a net cost of EUR 65 million compared to a net cost of EUR 8 million in Q1 2012. The EBITA for Q1 2012 included a gain of EUR 37 million on the sale of the High Tech Campus. Excluding that, the higher net cost was mainly due to lower IP royalties and seasonality. Inventory, as a percentage of sales, improved by 140 basis points to 15.5% at the end of Q1 of 2013 compared to 16.9% in Q1 2012. There was a significant reduction in Healthcare, where inventory, as a percentage of sales, declined by 200 basis points compared to the end of Q1 2012. Imaging Systems reduced inventories by 300 basis points, while Patient Care & Clinical Informatics, Home Healthcare Solutions and Customer Services decreased their inventory by 120, 10 and 190 basis points, respectively. Consumer Lifestyle reduced its inventories, as a percentage of sales, by 140 basis points at the end of Q1 2013. Main reductions were seen in Domestic Appliances with 200 basis points and Personal Care of 80 basis points. In Lighting, inventory, as a percentage of sales, improved by 100 basis points compared to the end of Q1 2012, with Consumer Luminaires inventory down by 440 basis points. Return on invested capital at the end of Q1 2013 declined to 4% from 4.4% in the previous quarter. Excluding incidentals, like the European Commission fine, the profits on the sale of the High Tech Campus and the profit on the Senseo transaction, the return on invested capital increased from 6.3% in Q4 2012 to 7% at the end of Q1 2013. The discount rate for the group is 8.9%. The increase in ROIC was largely due to the effects of higher earnings and improved working capital management. As far as capital allocation is concerned, we have completed 86% of the EUR 2 billion program of Q1 2013 under our share buybacks and on course to complete this program as planned in July 2013. This year will be relatively heavy in terms of cash outflows since we have paid out the EUR 509 million related to European Commission fine, as well as made payments for the various restructuring programs that are running. As mentioned earlier, Accelerate! is focused on organic performance improvement and possible bolt-on M&A transactions to gain access to certain markets or key technologies. We continue our risk mitigation efforts to reduce our risk on pension liabilities, and we'll inform you when we have closure on any such plans. Ladies and gentlemen, let me briefly summarize before opening the line to questions. The improved results for the first quarter of 2012 demonstrate further progress on our path towards our 2013 financial targets. In 2012, we felt the impact of the strong economic headwinds and expect ongoing economic uncertainty to affect growth going forward, especially in the first half of 2013. However, we remain confident in our ability to continue improving the operational and financial performance of the company, driven by the Accelerate! program. With that, let me now open the lines to your questions, which Frans and I will be happy to answer.
Operator: [Operator Instructions] Our first question comes from Andreas Willi from JPMorgan.
Andreas P. Willi - JP Morgan Chase & Co, Research Division: The first question is -- I have is on Healthcare. You had a weaker start to the year, as you said, but you're still quite positive on the year, reiterating kind of the top line outlook there. Has Europe become weaker than you expected a few months ago? And kind of in terms of backlog and visibility, how confident are you that you can deliver 3%, 4% sales growth for the year after the weaker Q1? And the second question I have is, if you could just give an update on stranded cost guidance and GM&S spending level for the year after Q1 that anything changes here?
François Adrianus van Houten: Andreas, let me take the first question on Healthcare, and then Ron will follow up on the stranded cost question. You will recall that in Europe, in the second half of last year, we actually saw strong order intake with some lumpy orders and with somewhat longer horizon. That gives us absolutely confidence about our resilience in the European market, whereas the overall market is somewhat challenged due to the economy. We believe that in Europe, we will see -- in the northern part of Europe, we will see some more traction going forward, whereas the southern part of Europe will continue to be weak. In the United States, we characterize the market primarily through that we see postponement of orders, postponement caused by the uncertainty around the healthcare reform. It's good to note that on the government side, orders have started to resume, while that was very weak in 2012. So it is a mixed picture, but we are convinced that the demand for technology, such as from us, for example, in minimally-invasive treatment, in patient monitoring and Hospital to Home, are all categories that will be in stronger demand once the dust settles on the U.S. healthcare reform. Ron, with regard to stranded cost?
Ron H. Wirahadiraksa: Yes. Our stranded costs for the quarter in Q1, they were EUR 25 million of stranded costs and that was in Lifestyle, EUR 7 million; and in IG&S, EUR 18 million. It was all for Lifestyle Entertainment, so no stranded costs for TV anymore. For the full year, the same as the guidance I gave at Capital Markets Day, EUR 29 million for the full year in Lifestyle and EUR 56 million in IG&S. I hope this answered the question, Andreas.
Andreas P. Willi - JP Morgan Chase & Co, Research Division: And the overall IG&S guidance is still the same for total cost?
Ron H. Wirahadiraksa: Yes, EUR 330 million.
Operator: Our next question comes from Martin Wilkie from Deutsche Bank.
Martin Wilkie - Deutsche Bank AG, Research Division: It's Martin from Deutsche Bank. Just clarifying on that Healthcare point, you talked about the uncertainty in the U.S. Do you think that Q1 from an order perspective in the U.S. is the low point? Or do you think that there is still -- because of sequestration and other points that, that uncertainty continues into Q2? So just to get sort of some sense as to where you think we are in that order cycle. And if could, I just have a question on Lighting as well. You talked about some benefit from a phosphor tailwind in Lighting. In terms of the phasing we can expect from that throughout the year, do you expect a similar benefit from that in both Q2 and Q3?
François Adrianus van Houten: Thanks, Martin, for quite detailed and insightful questions. I'll take the Healthcare one, and Ron will follow up on the Bill of Material benefits on the phosphor. On Healthcare, we said a slow start of the year, and that includes the second quarter. In other words, we are also cautious about the second quarter and we really only expect a pickup in the second half of the year. Ron, second point?
Ron H. Wirahadiraksa: Yes, I said last year we would have benefits in Q1 from the phosphor-related material price decreases. As we also said, we haven't been able to hang on to all of them, but the net balance was a positive and that contributed to a better Bill of Material. And the rest of the improvement come from overhead cost reductions. In the Bill of Material, we expect, throughout the year, something similar than that we have seen in the first quarter on phosphor impact.
Operator: Our next question comes from Ben Uglow from Morgan Stanley.
Ben Uglow - Morgan Stanley, Research Division: I sort of had a similar question on the emerging market orders in Healthcare. Ron, from your commentary, it sounded as if the decline in emerging market orders was really a comp effect simply from Patient Care & Clinical Informatics being very, very strong last year. Is that correct? Should we think that, that comp effect drops out in the second quarter, i.e. is it reasonable for us to assume that emerging market orders in Healthcare trend positive in 2Q? So that was question number one. Question number two, which is related, in the Imaging Systems business in China, I think you said that orders were up something like 10%. Did that include the benefit of new product launches? Because reading the press release, you've got 16-slice CT and the 1.5-tesla MRI? Is there a benefit of that in the 10% order growth?
Ron H. Wirahadiraksa: Okay. Thanks for the question. The growth geographies, so let me say the following. The Imaging Systems grew while, indeed, PCCI had a decline, as mentioned. So this was only mainly due to quite tough comparable figures as we grew 41% in the growth geographies last year for PCCI. China continued its double-digit growth and, as I said, while India and ASEAN declined double digit. So it is true that the IS intake was plus 10% and there was also on the back of new product introductions, as you mentioned, amongst others, the 16-slice CT. As you know, we're expanding our value segment portfolio, and a number of new products we have and will be introduced from that.
François Adrianus van Houten: Yes. And besides the ones already mentioned, then we can also underline that we have launched our value segment, ultrasound product in China, the ClearVue. And we also expect good traction from that category. So that means that now in the imaging side already in 3 modalities, we have China-based products launched and SFDA-approved. That should, of course, help our business going forward.
Ben Uglow - Morgan Stanley, Research Division: Okay. And without wanting to press you too much, but on the second quarter, it seems to me that, that comp effect from PCCI should drop out. Is that a fair assumption, i.e. you didn't have anything like the same growth in the second quarter's 41%. Is that fair?
François Adrianus van Houten: Yes. Ben, there's a lot of truth in what you say. Nevertheless, we maintain a cautious view to the -- for the entire first half of the year.
Operator: Our next question comes from Ludovic Debailleux.
Ludovic Debailleux - Natixis Bleichroeder LLC, Research Division: First of all, where are you in the process of restructuring Lumileds and Consumer Luminaires? Are you on track with plan? And do you expect additional benefits in Q2 and Q3? That was question number one. Question number two, could you share with us why the savings in Q1 at EUR 78 million are lower than in Q2 to Q4 2012? Actually, in order to reach the EUR 900 million by year end, you need to accelerate saving extraction throughout the year. When do you expect this acceleration to take place in Q2? Or will it be later in the year?
François Adrianus van Houten: Okay. Ludovic, I'll take the first one and have Ron take the second one. So let me first talk about Lumileds. Lumileds turned into a profit zone in the fourth quarter of last year. And we have said that we expect Lumileds to be profitable for the whole of 2013. The same applies to Consumer Luminaires -- the flat -- strong sales growth improvement for Lumileds in the first quarter, which is another sign that we are on the right path. From a seasonality point of view, the first quarter is always less profitable than the full year. So that is something that is normal in that business. So I reiterate the profitability for both businesses on a whole year basis -- full year basis in 2013. I'm looking to my right and see whether Ron is ready for the next question.
Ron H. Wirahadiraksa: Yes, I am. So there's a EUR 78 million overhead reduction savings reported in this first quarter. That is, of course, compared to 2011. So what we have to add into this is the run rate of the quarterly savings of Q4 2012. And then we'll gradually build up in the remaining 3 quarters of the year to the run rate that will get us to the EUR 900 million.
Operator: Our next question comes from Gael de-Bray from Societe Generale.
Gael de-Bray - Societe Generale Cross Asset Research: Maybe 3 questions, if I can. The first one, I was actually surprised to see the drop in sales for your solutions in Consumer Luminaires business in Q1, so especially after the good performance you had in Q4. So what's driving the decline this year? And the second question is about the DfX program. As you walk through the program and apply your approach to more pilots, do you think, at this stage, there could be actually some savings flowing through the P&L as of this year, so a bit earlier than the official plan, which is over 2014, 2016? And the last question relates to Healthcare. It seems that Japan had a pretty good quarter in terms of order growth, if I'm not wrong. And so I'd like to understand actually a bit better the comps, how difficult the comparison was and how difficult the comps will become in the coming quarters for Japan, and also what you're seeing in terms of your competitiveness given the FX movements, obviously, in Japan, too?
François Adrianus van Houten: Okay. Gael, thank you for those questions. The performance in Professional Luminaires and Consumer Luminaires, let me take them one by one. Professional Luminaires, there is an effect of still weak nonresidential construction in there. I mean, in the United States, the residential market has picked up. But that is not really the case for the commercial construction. And as we are addressing some of the internal operational effects in our Professional Luminaires organization, also that has some dampening effects. In Consumer Luminaires, we saw a strong Asia performance, less strong European performance. And that, of course, is on the back of weak consumer sentiment. And for us, both Professional Luminaires and Consumer Luminaires are in line with our statement of a slow start of the year and as such, not that surprising. The DfX approach is -- has a very strong potential, the Design for Excellence. We have now run it already in several businesses, in all 3 sectors. The enthusiasm is growing. Sometimes, we see strong double-digit savings potential. And of course, it depends on the business, whether that is quick to be realized or whether that takes a bit longer. What I mean is that in a consumer business with a product life cycle of maybe 8 months or a year, you -- we can capture the savings faster than in a Healthcare business where the time-to-market of a new product or an engineering change takes longer. Nevertheless, we do see some benefit coming already this year. However, that is offset by the expenses that we make in running the program. We are accelerating the deployment of the DfX as we see great potential. That bodes well for further profitability enhancement in 2014. At this stage, as we are still early in the race with DfX, the early bird benefit for this year versus the extra cost of running the program, let's call that still awash. And if that changes, we can talk about it maybe in July when we have the next quarter behind us. Ron, could you talk about Healthcare Japan?
Ron H. Wirahadiraksa: Yes. So Healthcare Japan, very strong team; saw last year very good growth in orders. Therefore, in this quarter, we had a 13% comparable sales growth. That's very encouraging. So competitive-wise, technology-wise, we're a quite strong player in the Japanese market.
Gael de-Bray - Societe Generale Cross Asset Research: Okay. And what about in terms of comps for the coming quarters? Do you think the performance in Q1 was a little bit exceptional or...
Ron H. Wirahadiraksa: Well, we had this very strong order intake last year, but -- so that explains this quarter's good comparable sales growth. However, we don't really give guidance for the quarters by country.
François Adrianus van Houten: And the Japanese yen is obviously a headwind that we need to reckon with.
Operator: Our next question comes from Mark Troman of Bank of America Merrill Lynch.
Mark Troman - BofA Merrill Lynch, Research Division: I've got a question on the sales growth target, the 4% to 6%. I mean, we've heard a little bit of commentary about European Healthcare and your comments about a slow H1. But what economic assumptions are you using to get that 4% to 6% when you give that guidance? Are you assuming a sort of marked pickup in GDP? Or is it very specific to the business pattern you're seeing within Healthcare, Lighting and Consumer?
François Adrianus van Houten: Thank you. Well, we do see a strong second half versus the first half. So I mean, I would like to reiterate that, first of all. Secondly, the targets that we formulated back in 2011, if I may bring them to recollection, that was, on the sales side, a compound average growth rate on a comparable basis of 4% to 6%. So obviously, what we also build on is a strong sales growth performance last year. And this year, even though we have a slow start, we expect a somewhat better second half year. So I think that is how you need to look at it and then do your math.
Mark Troman - BofA Merrill Lynch, Research Division: Okay. And Frans, on the cost savings, the Accelerate! numbers are obviously very clear and have been communicated, et cetera. What about -- what is the scope for cost savings outside, if you like, of the quarter overhead reduction of Accelerate! in terms of factory footprint or "rationalization," et cetera, and, I guess, the supply chain?
François Adrianus van Houten: You're right. Also there, we see many opportunities. And I think Lighting is showing that. Maybe, Ron, if you want to add some color on that. Yes -- and then before you do that, and then the third part, so you see 3 pieces, right. We see overhead cost reduction. We see the factory footprint. And then the third piece is basically the cost of goods sold, the Bill of Material. And where, with the DfX program, we are also going to chip away at that cost. Anyway, on the industrial footprint, Ron?
Ron H. Wirahadiraksa: Yes. So in Lighting, we took quite some charges last year as we pulled out our restructuring plans on the back of conventional lighting and industrial base coming down somewhat faster. So we've done that now for the plans that we are foreseeing in our current base, which will come down over the coming years. We have also at various occasions indicated about the EUR 165 million savings related to that, that would come in over the coming 2 to 3 years. And it will probably come in a bit lumpy. So that on this footprint reduction in Healthcare, we've also taken some provisioning last year. That is more a matter of rightsizing of certain geographies. We still have good technological but also costly setup in a number of higher-cost areas. We're balancing that off by bringing more of the production base to Suzhou in China and to Pune in India. We've been successful in that. And as I said earlier, that will also drive some of the newer value segment product releases. So rightsizing in Healthcare and bringing it to lower-cost countries, that's more the order. Now Frans mentioned 3. You asked for the potential. And so we mentioned overhead, footprint and the DfX. And of course, our End2End value chain improvement program, which stretches into the coming years in 2017 at least, would gradually also drive more of a benefit through various initiatives, not just the supply chain within that, but also time-to-market and cost of quality reductions, for example. So as Frans said, a lot of opportunities to drive further efficiency and at the same time, grow and innovate.
Mark Troman - BofA Merrill Lynch, Research Division: And just one quick follow-up. On pricing, have you seen any changes in pricing trends either from external factors or from, if you like, the new initiatives you've been putting through the organization like time-to-market?
Ron H. Wirahadiraksa: So let's take Consumer Lifestyle, while we have found that when we do a great job in improving our time-to-market, we're actually better capable of capturing a good price early on in face of the new product introductions. So that's very heartening. In Lighting, we have seen in the conventional base the normal price erosion, not anything off. And also in Healthcare, we have not, in our order portfolio, a lot of price erosion. But I do remark that we're not participating in each and every deal. If it, profit-wise, doesn't make sense, we don't engage. So we may not see all the price erosion that goes on in the industry, for example. But for now, this is very manageable.
François Adrianus van Houten: And underlined by the gross margin improvement across all 3 sectors, and I think that's exactly -- that is heartening in times where the economic pressure is always there.
Mark Troman - BofA Merrill Lynch, Research Division: Sorry, just to clarify, Ron and Frans, you're saying in Healthcare, you are being more disciplined, in effect, than you were before? Is that fair to say that in terms of the business you go after?
François Adrianus van Houten: We didn't say that we were more or less disciplined than before. I think Ron said that we engage in those market opportunities where we can get a good return in the -- with products where we can differentiate. I mean, the Healthcare market is a very large market. And in line with what we talk about our business system, Philips Business System, we want to go after the best value-creating opportunities. So we emphasize our innovation capability. And we want to work with those customers that pay for those innovations rather than going for lower end segments of the market where it's just volume but no margin. So I think that is what we were referring to. And so we constantly manage the mix for a healthy gross margin.
Operator: Our next question comes from Martin Prozesky from Bernstein.
Martin Prozesky - Sanford C. Bernstein & Co., LLC., Research Division: It's Martin from Bernstein. Two questions, please. On the -- Frans, you've spoken about the Prof Lum business. I just want to understand in terms of all the issues you have there, the actions you've put in place, how important is the volume recovery from U.S. non-res to see that business get back to potential? Or do you think the cost actions you've taken there will -- I mean, that business can get back to normalized margins pretty soon? And kind of how soon would that be? And then the second question, and apologies to belabor -- for belaboring this point, but on the H2 pickup, I mean, H2 normally is seasonally stronger. We also will see the full benefit from the cost-cut programs in H2. So are you saying there will also be a demand improvement in H2 or is it more of a seasonal and savings annualization comment?
François Adrianus van Houten: Well, let's take the first one, the Prof Lum in North America, some pressure due to our own doing. We have stepped up the post-merger integration of Genlyte that may feel -- that's already years ago, but we still had to do some of that work that is impacting performance. But we are new management in place since 12 months. It's taking strong measures with regard to the brand rationalization, the sales force integration, the reduction of the industrial footprint. We think that we are well on track to get to a better performance in the United States. And we believe also there in the case of self-help. So we are not that dependent on the market recovery. But rather, we'll do this on our own strength. With regard to the second half, by and large, seasonal effects -- although I did say that in Healthcare, orders have been pushed out due to the uncertainty in the Healthcare market and that we do expect some of those orders to come back in later this year. Ron, did I -- anything to add to that? Or are we...
Ron H. Wirahadiraksa: No, you're right. Usually, it's the better half within the year, and you said it would be better than the first half. It's correct.
François Adrianus van Houten: Good. Always good to check with the CFO -- whether I forgot something.
Operator: Our next question comes from Olivier Esnou from Exane.
Olivier Esnou - Exane BNP Paribas, Research Division: Two questions, please. There were less trading days in the quarter. I was wondering if you had tried to assess what was the impact in each of your business. Secondly, if I look at the good growth in CL, do you have an assessment of how much of this growth would be the fair reflection of consumer confidence levels? And how much is linked to specific product introduction in your portfolio?
François Adrianus van Houten: Okay, let me take the second question first and then have Ron comment on the trading days. CL, now third quarter in a row with double-digit growth in an economy that is actually weakening, not strengthening, I correlate that entirely to increased focus in CL thanks to -- now that we have moved TV out and Lifestyle Entertainment on the course of moving to Funai, the team realizes and is focused on driving performance in the remaining categories of health and well-being. That focus, of course, pays off, and then the more granular performance management, resource allocation to those markets that have the best growth and a strong commitment to introducing locally relevant innovation, such as the salad maker in Russia, a soup maker in Europe, the Airfryer, a much wider range of Sonicare toothbrushes, our ability to compete also in the value segment in shavers in China. I can go on. There is numerous examples of how Accelerate! has totally repositioned CL to compete on a better level. Now I'd like to point out that CL was one of the first to really, full heartedly get Accelerate! deeply deployed in the organization. Of course, also, the CL products have a faster cycle. And therefore, the benefits show up earlier. But for me, what CL is now showing is actually a forebode of what we can also do in the rest of Philips, where we have strong confidence in our ability to improve performance on the back of strong innovation and underlying that case of self-help that we talk about very often. Ron, the trading days?
Ron H. Wirahadiraksa: Yes, we think, overall, for the 2 days that you mentioned, there was not much of an impact. There's a lot of our business that is projects-driven, of course. In CL, we had, as we said, very strong 10% growth. So we haven't seen an impact there. If at all it would have had some impact in loading of the Lighting factories, but we have not seen a large impact from that either. So I would not say there is a major explanation of the result.
Operator: Our next question comes from Fabian Smeets from ING.
Fabian Smeets - ING Groep N.V., Research Division: Two questions from my side. When looking at the DfX plan in your slides, it seems that the cost reduction you've seen, the DfX plan has increased from the slides you've shown at the Capital Market Day in Boston. Could you elaborate a bit on that? And then also on the raw material tailwind from lower phosphor prices, could you give us an indication of how much exactly this was in Q1?
François Adrianus van Houten: On DfX, it can be clear it is the same slide, and we will double check this slide. But I confirm that it's the same slide and nothing has changed, and the program stands as before. On the raw material tailwind, Ron, any more color?
Ron H. Wirahadiraksa: No, not much more color. As Frans earlier explained, DfX, we expect the result to materialize mainly in the years '14 to '16, so 3 years, where we'll go after, hopefully, EUR 1 billion savings. For this year, it's very important that we build up the funnel. And we will see some effect, but I would not say and incorporate now as tailwinds on top of the normal run rate of cost savings that we have. What I said on the phosphor of Lighting, I said it will be quite evenly spread throughout the year. So we don't have to see a step-up from that either. So managing our pricing, managing our cost, optimizing the mix and a good Bill of Material should, hopefully, drive the gross margin to an improved level as we have seen in Q1.
Operator: Our next question comes from Hans Slob from Rabobank.
Hans Slob - Rabobank Equity Research: A question on Healthcare. Could you elaborate more on the growth you've seen in the value segments and your plans there? And also, yes, what percentage of total Healthcare sales is now being, yes, derived from the value segment?
François Adrianus van Houten: Okay. Hans, thank you for the question. I think what most people recall is that Philips actually was a bit slow to come to the value segment market with some competitors being ahead of us. We have worked hard to overcome that backlog. In the area of Patient Monitoring, we did that through our Goldway acquisition. And the result, we have been very successful in playing at its own game in the value segment. And that works well. And then in the Imaging Systems arena, we established our Suzhou greenfield operation close to Shanghai in order to do the in-house development, the manufacturing of our value products for Imaging Systems, supported also by our Bangalore R&D center in India. Earlier this call, we talked about several products that are now manufactured in Suzhou, such as the 1.5 tesla MR, the CT and the ClearVue ultrasound, which are 3 examples in the value segment. In terms of quantification, I would rate it at around 1/5 of revenues that can be in the value segment this year. And that, of course, is in that -- in Imaging Systems, right, let me be clear, so maybe close to 20% in value. Our main strategy, and I'd like to underline that, remains in high-end innovation. So I realize we need to have a good value product offering. I call that defending our flanks, whereas our main strategic thrust is in providing integrated solutions along the care -- continuum of care. And that the better we are able to integrate diagnostic imaging with minimally invasive treatment, the more we protect ourselves against competitive pressures from, for example, new Asian competitors. We introduced the EchoNavigator product recently. We've got FDA approval for that. EchoNavigator integrates and overlays x-ray with ultrasound images on a real-time basis, and that gives cardiac surgeons the opportunity to look inside the body without cutting open the patient through and then -- and treat the patient with minimally -- so this is -- of course, not everybody can do that. An intellectual property is protected on these innovations. There's a lot of software there. And we think that others will not be able to follow us in this integration strategy. Therefore, it's not a goal in its own right to improve the value segment. It is more to defend our flanks while the cream of the pudding is in the integration.
Operator: Our next question comes from Fredric Stahl of UBS.
Fredric Stahl - UBS Investment Bank, Research Division: It's Fredric here. Can I just ask you, it seems to me that you still have quite a bit of confidence in your full year growth numbers and improvement here in the second half? And I was wondering what proportion of that confidence comes from hard numbers that you can see in your reports from across the business, whether it's the end of Q1 trends or even beginning of April here, beginning of Q2 figures. What can you actually look at and say, "Well, here, we have a bottom" or "Here, we're accelerating"? If you can provide some color around that, that would be great.
François Adrianus van Houten: Well, we had an earlier question in this call about the makeup of the growth target. And I explained that it was a comparable compound average growth rate. So we start the confidence already on the basis of the growth that we have built up over last year. This year, even though we see a slow start of the year on the back of order book customers that signaled that they are interested in our product and normal seasonality, we expect the second half year to be stronger. I may also point out that in terms of comparable, the first quarter of 2012 was pretty strong due to the pushout of Q4 2011. So I don't want to make this too complicated. But Q1 2012 was a very strong and maybe even overly-strong quarter. And that, of course, creates a difficult comparison, which is then somewhat negative in a comparison of quarter 1 2013. So, yes, I hope with that, I've given you just a little bit more color that you're looking for.
Operator: Our next question comes from Daniel Cunliffe from Nomura.
Daniel Cunliffe - Nomura Securities Co. Ltd., Research Division: I had 2 questions, please. Firstly, just on Lighting, you mentioned LED is up 38%. So that works out roughly to about minus 10% for traditional. But then you also said that, I think, traditional was up 2% in the sort of growth areas. Therefore, sort of mathematically, that would imply sort of 13%, 14% declines in sort of traditional -- in areas like the U.S. and Europe. Could you just sort of give a bit more color and granularity on what's going on within the traditional market, whether that sort of assumptions are correct just simply by backing out sort of the LED and using your comments. That was question number one. The second question really just on cash flow. You talked about inventories to sales, I think, a reduction of 1.4% but as much as 300 basis points in imaging and 2% of sales to Healthcare in total. The question here is, given the size and sort of inventory cuts to revenues, has there been any sort of underproduction and under-absorption impact on the margins? And if so, if you could sort of help us quantify what that was?
François Adrianus van Houten: Okay. Thank you, Daniel. I'll take the first one. And Ron, if you could think about the second one. So, yes, strong traction in LED growth, 38%. That's great. It underlines how competitive we are in LED. Your math, it does go a bit fast for me. So I won't comment on the exact calculation that you did. I don't think we broke out how conventional did between the regions. So maybe there, we need to be a bit more nuanced. But of course, the growth in LED does come at the expense of conventional. Let's not beat around the bush there. That's true. And I think we have said earlier, in Capital Markets Day and other presentations, that already more than 40% of all our professional projects are based on LED. So the total cost of ownership proposition is very strong. And, of course, professional customers are the first to recognize that and to take up on that. The profitability of LED in professional is healthy. And therefore, we are also not that worried about the cannibalization effect that LED will have on our conventional business. And since overall Lighting was flat, yes, it does go to the expense of conventional markets and first in the Professional Luminaires space, whereas that replacement lamp business is still holding out and that is in line with our story around the golden tail of conventional lighting, where people will continue to replace lamps in existing sockets for a long while. Maybe we can switch to the second question.
Ron H. Wirahadiraksa: Yes, on your question on inventory to sales, we've been reducing inventory now for the past couple of quarters. So -- and we're not doing that by under-loading factories. So there is not a real effect of that. What we are doing is we're looking at the low-hanging fruit. We're optimizing our sales and operating procedures also across geographies, and that helps a lot. We have handed out better accountability around inventories also geographically between businesses and markets, and that helps a lot in a number of other lower-hanging fruit. We do expect that go forward, under the influence of the End2End value chain improvement that we are making within the Accelerate! program, we can get to further optimization. But for now, we are driving to bring inventories down 300 basis points from where we exited 2011. As you know, last year, we did 200 basis points, so 100 basis points to go. It won't necessarily stop there, but this is the -- let's say, the first port of call, so no under absorption impact.
Daniel Cunliffe - Nomura Securities Co. Ltd., Research Division: Just one quick follow-up, just -- I didn't quite hear what you said on Healthcare orders. You said for the growth areas, sort of up 41% in PCCI. But what was the underlying? If you just confirm what you said there, that would be great.
Ron H. Wirahadiraksa: No. We said that in Q1 2012, we had a 41% increase in orders for PCCI. So that makes the compare for PCCI not very easy. That's what I said, I believe.
Daniel Cunliffe - Nomura Securities Co. Ltd., Research Division: So there's no actual number given on what the underlying growth was x that large order?
Ron H. Wirahadiraksa: No, we didn't.
Operator: Our next question comes from Philip Wilson of Redburn.
Philip Wilson - Redburn Partners LLP, Research Division: It's Philip Wilson from Redburn. Most of my questions have been asked, but I have 2 questions left. First off, on Lighting prices, just to be a bit more specific. Can you describe and contrast the trends you're seeing in incandescent versus CFL versus LED and how those are trending, in particular, with reference to what's happening in the private label competition in CFL? That's the first question. And secondly, on imaging, in North America, given the weaker demand, can you explain a bit any particular modality, MRI versus CT versus ultrasound versus x-ray, and the impact that might have on margins going forward as I imagine some of your higher margins might be made in this more advanced CT, MRI products?
François Adrianus van Houten: Okay. Philip, let's start with the Lighting pricing. I take it that most of your question actually relates to the consumer segment. Philips Lighting is heavily skewed to professional lighting. Close to 75%, 80% is professional. So the consumer market gives -- we have less exposure there. As we also mentioned last year, the consumer market, there is price pressure also due to retailers that have their private label brands. We have seen this in incandescent and CFL-I in a consistent manner. We then play only in those, let's say, retail outlets where we can make a good margin. So we play selectively. In LED, it is very early days. Actually, for LED, we need price erosion. Otherwise, we don't get to consumer price adoption points. So you could argue that actually, Philips is driving price erosion ourselves in order to get to price points that are attractive to consumers. In that context, we have recently announced that we will go below $10 for LED lamps during this summer and, of course, the sweet spot expectedly to be reached in 2014 or 2015 when we are below $5. We think that's the turning point for consumer adoption. So it's a mixed picture. Certainly, some price pressure in the consumer area, but strong, good pricing in the professional side, where the total cost of ownership story and the -- and additional added value of embedded controls and software and the quality of lighting is far more important. With regard to imaging, I'm looking to my right here, whether we can give some extra color on composition of the portfolio.
Ron H. Wirahadiraksa: Yes, so if you look at -- I think the question was what part is growing. We saw growth in our ultrasound business, of course. We saw a very strong growth in our Interventional X-ray business, as Frans explained. And then there was weaker -- a weaker situation with CT and MR and then Lumiled [ph] for that manner. There was -- also last year, we had quite some good order intake on still the back of the imaging radiology suite that we introduced in 2010, which started to roll out more to the growth geographies.
Operator: Our next question comes from William Mackie from Berenberg Bank.
William Mackie - Berenberg Bank, Research Division: I'd like to come back to Healthcare. Given the uncertainties regarding the outlook for the second half, I mean, how do you anticipate the organization can respond above and beyond what is already entrained within the Accelerate! program? And then secondly, you mentioned Japan revenues plus 13. Could you clarify the order situation in Japan under the current yen conditions? And lastly, on Lighting, we've talked about trading days. But also, did you see anything across the European or the North American landscape in Lighting that indicated that the distributors were changing behavior just in the first quarter? Was there any change in the channels in terms of a pattern of trading which could reverse in the second half of the year?
François Adrianus van Houten: Okay. Well, Healthcare, you mentioned the uncertainty in the market. We agree with that. Our response is to Accelerate! I don't want to be cheeky there. But of course, that is our plan and it works. We discussed how successful it is in lifestyle. Healthcare was a little bit slower in the full adoption of the managers deep into the organization. Deborah DiSanzo, who became CEO a year ago, made a strong push in that direction. And we feel that we have now very good traction on all fronts, but some of the benefit still needs to get into the numbers. So we did do quite a number of overhead cost reductions, changing the marketing organization, redirecting investments to more compelling innovative areas, reducing our commitment from lower-margin products. And then the DfX program has just started in Healthcare. So we feel that we are able to deal with a slower demand and still have significant improved earnings. And as such, we don't need to initiate new steps right now, although the unlocked potential of Philips applies to all 3 sectors and by no standard are we world-class yet in terms of cost of productivity. And we will continue to push the envelope in those areas. With regard to the Japan situation -- well, situation. That sounds negative. I want to turn it positive because we have strong traction in Japan due to our innovations. And that, of course, shows up in a very successful first quarter last year. I did mention that the currency gives us a headwind with, let's say, local competitors. It means that we cannot compensate that through higher prices. We see, therefore, also a slight decline in the order intake value as it gets into our reporting currency, but nothing to be concerned about. We think that the good traction in Japan will, in fact, continue. The third question on Lighting -- I need some help here from my team.
Ron H. Wirahadiraksa: There was a question on the distribution channels.
François Adrianus van Houten: Oh yes, yes. So yes -- sorry. Thanks for reminding me. No, we have not seen any strange behavior in stocking up or stocking down. And therefore, we don't expect effects going forward. As I mentioned before, in the United States, the -- let's say, the relative lower performance of Philips in North America in Professional Lighting Solutions correlates with the efforts that we are doing to get the organization to a higher plan, which we feel is on the right track. And then we also expect the traction of the business to improve in the marketplace.
Operator: Our final question today comes from Mark Davies Jones of Agency Partners.
Mark Davies Jones - Agency Partners LLP: First, just a clarification. I wondered if Ron could just run me through how we get from the EUR 425 million adjusted EBITA as reported for the first quarter last year to the restated EUR 322 million you say today, just the breakdown of how much of that is the deconsolidation, how much is the change in accounting treatment around pensions, et cetera, because I haven't seen a reconciliation of that. And then on the question side, you were mentioning some of the LED solutions on the tubular lighting side. Do you think there's a chance that we see a second step-up in the rate of transition to LED on the professional side, which might mean you need to restructure traditional capacity a little bit faster? Is there another way of coming through on that side, do you think?
Ron H. Wirahadiraksa: You can take the second one.
François Adrianus van Houten: I can take the second while you look up. Well, so the -- actually, it's great to see how innovation continues to push the envelope in LED lighting. That's good because it's all intellectual property for us and it all helps us protect our own market position. So I'm pleased to see that we can innovate like that. And that it has a cannibalization effect on our traditional business is inevitable. But I always tell my people, "It's better to make yourself obsolete than have an external competitor do that." And so we need to push the envelope like hell and make sure that we bring the best products to our customers. We count on restructuring our manufacturing base in a very substantial manner between 2009 and 2015, where, off the top of my head, we take almost half of the infrastructure out. If LED would penetrate even faster beyond the forecasted 45% by 2015, yes, we would further accelerate restructuring of our industrial base. At this moment, we are actually tracking along our own forecast that LED penetration will hit 45% by 2015. To bring it in recollection, so far, our penetration now is 23% of overall Lighting sales. So there is still a doubling to be done before we would have to change our own market penetration forecast. With regard to the reconsolidation of EBITA?
Ron H. Wirahadiraksa: So if you look at Q1 2012, as we have stated in our press release there is already restated for the IAS 19, so for the pension adjustment. I just wanted to be clear. We published the restates a few weeks ago. So there is, for that matter, no real variance. It's on a comparable basis related to pension impact. The biggest positive swing comes from the overhead cost-reduction program, as we have reported, the EUR 141 million. We also have a positive on the gross margin and somewhat on volume as we have reported a 1% comparable sales growth. And then we have done some investments to support our growth, nothing out of the extraordinary. But we're at a slightly higher impact of that. And there is somewhat of an impact of currency. So that basically drives the difference. So the main positive is the overhead cost-reduction savings. Then you get gross margin and volume. And then there is some ForEx impact and some investments in driving growth. Is that clear?
Mark Davies Jones - Agency Partners LLP: Yes. I was wondering more about the restatement of the historic, but we'll dig through that later.
Ron H. Wirahadiraksa: So it has been restated for the pension impact. So the Q1 2012, as I said, is stated as if Q1 2012 had already IAS 19 in the numbers.
Mark Davies Jones - Agency Partners LLP: Yes, I understand that. It was just the -- in the divisional, it's not quite clear what is that effect and what is the deconsolidation of the audio-visual side.
Ron H. Wirahadiraksa: So the numbers that you're looking at, that's a very good point. I forgot to mention that, apologies. The numbers that you're looking at are excluding Audio, Video, Multimedia and Accessories. So that is completely excluded from the numbers, and those results you will find in discontinued operations.
Operator: Mr. van Houten and Mr. Wirahadiraksa, there are no questions. Please continue.
François Adrianus van Houten: Okay. Well, at this stage, then I would like to thank you very much for all your insight and full and good questions. And I'd like to reiterate that we are committed to achieving our targets this year. And we feel that we are on the right path with Accelerate! and our self-help story. And we will just continue to drive that very diligently. I hope to speak with you all soon. And for now, have a great day. Thank you.
Operator: Thank you. This concludes the Royal Philips Electronics First Quarter Results 2013 Conference Call on Monday, 22nd of April 2013. Thanks for participating. You may now disconnect.